Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2011 Watts Water Technologies Earnings Conference Call. My name is Deanna, and I'll be the operator for today. [Operator Instructions] I would now like to turn the conference over to your host for today, Mr. Kenneth Lepage, General Counsel. Please proceed. 
Kenneth Lepage: Thank you, and good morning. On the call with me today are David Coghlan, our President and Chief Executive Officer; and Bill McCartney, our Chief Financial Officer.
 Please be aware that remarks we may make during today's call about the company's future expectations, plans and prospects constitute forward-looking statements under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various factors, including those discussed under the heading Risk Factors in our annual report on Form 10-K for the year ended December 31, 2010, and other reports we file from time to time with the SEC. In addition, forward-looking statements represent our views only as of today and should not be relied upon as representing our views as of any future date. While we may elect to update these forward-looking statements, we disclaim any obligation to do so.
 During this call, we may refer to non-GAAP financial measures. These measures are not prepared in accordance with Generally Accepted Accounting Principles. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is available in the press release dated February 20 relating to our fourth quarter 2011 financial results, a copy of which may be found in the Investor Relations section of our website, www.wattswater.com, under the heading Press Releases. 
 I will now turn the presentation over to David and Bill. 
David Coghlan: Good morning, everyone, and thanks for joining our fourth quarter earnings call. I'd like to start by giving you an overview of our fourth quarter and full year results, then summarize some of our key accomplishments from 2011, and move on to give you our latest view on market conditions across our geographies and a sense for where we see things heading in 2012. And I'll review some of the key elements of our fourth quarter performance before handing over to Bill McCartney to review our performance in more detail. After Bill's discussion, I'll summarize, and then we'll open up the call to your questions. 
 So first, let me recap the quarter and the year.  Despite challenging activity levels in many of our end markets and pretty volatile commodity costs during the year, we believe we delivered a solid performance in the fourth quarter and that overall, in 2011, we continue to make progress towards improving shareholder returns.
 In the fourth quarter, adjusted EPS grew by 33% versus the prior year excluding Socla and by 40% including Socla. For the full year, adjusted EPS grew by 5% excluding Socla and by 11% including Socla.  Over the full year, our conversion rate of free cash flow to net income was 164%. That's the fourth consecutive year we've converted at a rate in excess of 100%. And our ROIC expanded by 70 basis points to 8.8%. 
 Second, let me talk about some of our key accomplishments during 2011. On the growth front, we positioned ourselves for future growth by making significant progress in integrating our largest acquisition today of Socla, which we acquired earlier in the year from Danfoss. Socla has been a very positive contributor since its purchase. We also expanded our geographic sales reach by putting boots on the ground in an office in the Middle East and by significantly strengthening our sales force in Asia.  And we managed commodity volatility through pricing initiatives to help balance the cost price equation in North America.
 On the operational excellence front, we made progress on our footprint optimization programs by completing 2 major restructuring initiatives, one in the U.S. and one in Europe, and a number of smaller restructuring programs, and by expanding our position in low-cost countries by opening a new manufacturing plant in Mexico. We also made progress on our continuous improvement journey by driving additional productivity and working capital initiatives throughout the business and by investing and building our continuous improvement resource base.  
 Lastly, we strengthened our leadership team by recruiting experienced leaders from quality companies for key positions around the world, and we maintained our strong capital structure by focusing on cash generation and by taking advantage of our dip in the stock price to repurchase 1 million shares of our common stock for $27.2 million.
 Now let's discuss the market environment we're dealing with and where we see those markets heading in 2012. Residential construction in 2011, as you know, was a mixed bag with single-family new home sales down 6% and single-family housing starts down 9% from 2010. Housing starts of 307,000 in 2011 were the lowest on record. On the plus side, existing home sales did increase year-over-year by 2%, and multifamily home starts increased 54% over 2010.
 Commercial construction for much of the year was stifled, and copper prices reached an all-time high in April of 2011 then receded somewhat as the year progressed before trending up again through February of this year.
 In Europe, we saw a continued divergence in market activity with the Northern European countries making some gains, while countries in the South are either flat or down.
 So as we look forward into 2012, we believe North America may grow modestly as the U.S. economy appears poised to continue its steady but slow growth.  Recent statistics on housing starts and new housing permits have been positive, particularly driven by multifamily construction. But we still see foreclosure overhang, distressed sales and high unemployment levels as a barrier for significant growth in residential construction in 2012.  We believe existing home sales should be steady, and that's encouraging for our repair and replacement business.
 Commercial construction expectations are uneven at best. The ABI has provided positive signs with consecutive good news in November and December, but our best guess on nonresidential construction calls for minimal growth in 2012.
 In Europe, there's a lot of talk about a Pan-European recession, and we did note that Eurozone GDP was negative in the fourth quarter of 2011 at about negative 0.3%. We are, of course, concerned about that, and we're watching with great interest as European leaders deal with the myriad of issues in front of them. 
 So this is how we're presently looking at Europe for 2012. Many of the Northern European countries rely on export sales to help fuel their economies. If the euro remains depressed, exports of systems containing Watts products should remain steady. In these Northern European markets, new construction growth may be muted during 2012, but the repair, replace and upgrade market should continue.
 Amongst countries linked to sovereign debt issues, Italy is an important market for us, and the economic situation there causes us some concern. However, a significant portion of our Italian production is exported. Our exposure to other affected countries like Greece, Ireland and Spain is small. 
 If we look beyond the Eurozone, we see opportunities to expand our sales into Russia, Poland and the Middle East, and if we look across our product lines, our Drains product lines are expected to grow in both land-based and marine-based applications. 
 Now a major challenge in Europe will continue to be the commodity costs and our ability to defend our margins against the fragmented competition. We are responding to recent escalating copper prices by announcing price increases in a number of our key markets. So in general, although growth may lag North America in 2012, our expectations for Europe are not as conservative as some others. Plus, if a deep recession were to take hold in Europe, then our expectations would certainly need to be adjusted.
 Turning to Asia, our operations there are still small at present, so any growth there won't necessarily move the needle in the short term. But we see promising long-term growth prospects in Asia. China's economy is expected to grow by roughly 8% in 2012, and a significant portion of the domestic GDP is accounted for by real estate, including construction. A recent Wall Street Journal article noted that the Chinese government is in the process of building 36 million subsidized apartment units for low-income families by 2015, with 7 million apartments projected to be constructed in 2012. We hope to tap into China's continuing expansion by enhancing our distribution and sales channels and emphasizing our key brands in plumbing and HVAC applications. 
 We're also looking outside China into other markets in Southeast Asia to expand our presence throughout the region.
 Now I'd like to talk briefly about our fourth quarter performance. Overall, we thought we had a solid fourth quarter. On the revenue front, we delivered 4% organic growth and 14% overall growth if we include Socla. Operationally, we expanded our adjusted operating margins by 70 basis points due to tight controls of our operating costs in the quarter. Our gross margins in the quarter were essentially in line with the fourth quarter of last year, and we were able to leverage about 37% of each additional organic sale made in Q4 over Q4 last year directly to the bottom line.
 We did have a couple of individual transactions in the fourth quarter which are worthy of note. First, we took an impairment charge of $11.3 million after-tax related to a European subsidiary. This resulted from a look at the business and its current prospects based on changes in end markets and the deemphasis of certain product lines. Secondly, we had an after-tax gain of approximately $11.4 million as we finalized the sale of subsidiary in China. We had been awaiting government approvals and final closure with the buyer, and these loose ends were completed in Q4.
 We continue to be more successful in passing on commodity costs in the North American wholesale channel than we have been in Europe and in the North American DIY channel. As we've noted previously, European markets tend to be fragmented, and we face competition from family-run companies that price aggressively to maintain business and employment levels.  We did see a slight reduction in copper costs during the quarter, so the price-cost gap narrowed. However, that benefit was offset to some extent by lower absorption in our factories as business naturally tailed off during the holidays, as we conveyed to you during our last call. We have announced selected price increases in certain markets in both Europe and North America effective for January in an attempt to further balance price-cost issues.
 Within Europe, Germany continued to perform well during the quarter, especially for products sold into the radiant heating marketplace. And our European Drains business continued the upward momentum that began in the second quarter, both in its traditional Nordic region and elsewhere, such as the Middle East. We also saw growth in our traditional pre-insulated piping product lines used in district heating and cooling applications. 
 Socla continued its solid performance by generating $0.03 in adjusted EPS in the fourth quarter. For the year, Socla contributed $0.13 in adjusted net income, which, on a run-rate basis, is slightly above our original high-end estimates for the full year of $0.18.
 In the North American retail market, pricing gains continue to be difficult to attain as the larger big-box retailers are transitioning to annual line reviews, where they put an entire product line out to bid in an effort to obtain a better price.  We have made progress on price in our retail channel, but we still have work to do. Our challenge would be to differentiate ourselves with superior service delivery and product breadth. We believe we have the product offerings, including low-lead products, and the distribution capabilities that the bigger retailers want in a key sourcing partner.
 Finally, we continue to see benefits coming through from various continuous improvement and footprint consolidation programs, which are part of our operational excellence strategy. These also helped to contain inflationary cost pressures. 
 So let me turn it over to Bill now, who will provide you with more insight into our operating performance in Q4. 
William McCartney: Okay, thanks, David. Looking at the consolidated revenue, $360 million. That's an increase from last year of $43 million or just shy of 14%. The components of the change, we had almost $13 million of organic growth, which is 4%. The acquisition of Socla contributed $31 million, which is 10%, and then we had an adverse impact from foreign exchange of about $900,000. So that totals $43 million or 14%.
 The bottom line on the EPS front, if you look at our GAAP earnings of $0.46 compared to last year's Q4 of $0.30, so that's an increase of 53%. However, if you look at Table 1 on the press release and look at our as-adjusted earnings, where we removed restructuring and unusual one-off transactions, our as-adjusted number is $0.56 compared to last year's Q4 of $0.40. So that's an increase of 40% versus last year's Q4.
 And I know some of you are interested in the detail of the restructuring charges and impairments and so on, so to give you that information by segments, if you look at North America, pretax, we had $400,000 of restructuring and $200,000 after-tax. In Europe, the combination of restructuring and impairments was $17.4 million pretax and $14.3 million after-tax. 
 In China, where we recorded a gain on the sale of our subsidiary, TWVC, we had a pretax gain of $7.8 million but an after-tax gain of $12 million. The reason for the increase is we did have some favorable tax positions that we unwound as a result of that sale.  And then we had a $600,000 after-tax charge at the corporate level.
 Looking at some of the segment performance, North America, $199 million, almost $200 million of revenue, an increase of $11 million or 6% versus last year. The components of that change from an organic standpoint, $8 million or 4%. The acquisitions, which we have some Socla revenue in North America, so that's $2.7 million or 1.5% and a small adverse impact from the Canadian exchange rate of $200,000. So that totals $10.8 million or 5.7%. 
 On the wholesale side, revenue increased $9.6 million to close out at $160 million. That's 6.5%. And the retail at $39.5 million increased 3%. So again, as David mentioned earlier, we saw some solid performance in some of our plumbing and heating products, particularly -- excuse me, on the plumbing products, particularly backflow, offset by a little bit of softness on the heating season because we've had such a warm winter in North America.
 Looking at Europe, $154 million of revenue. That's an increase of 27% or $32 million. The components of that change from an organic standpoint, $5 million or 4%, again, the weakening of the euro versus last year Q4. So we had an adverse impact of $1 million or about slightly less than 1%. And Socla's revenue in Europe was $28.3 million or 23%. So that totals $32 million or just shy of 27%. 
 And again, in Europe, David mentioned we had some very good performance into Eastern Europe, particularly Russia and Poland. Germany's under floor radiant heating sales into our OEM market did well, strong sales from BLÜCHER, partially offset by some weakness in our Italian wholesale market. 
 China sales at $6 million were essentially flat with last year, so there's no significant changes there.
 Looking at the gross margin, 35.7% in the quarter, and that's up about 10 basis points versus last year's fourth quarter. We look at the margins without Socla. They're also at 35.7%. So Socla is running as we expected, very close to our overall corporate average for gross margin. 
 When you look at the margin, we did have some improved pricing in our North American DIY. Pricing in North American wholesale seems to be holding. And in Europe, again, competitive pricing atmosphere, but we're trying to offset as much of that as possible with productivity improvements through our continuous improvement operating system at Watts. 
 The SG&A at $92 million, that's an increase of $8 million versus last year, but it's a reduction of 100 basis points relative to sales at 25.6%.  So just to walk through the change from last year, last year's fourth quarter, we had $84.3 million of SG&A. From an organic standpoint, our SG&A declined by $400,000. The FX caused a decline of $100,000, and an inclusion of the acquisitions, primarily Socla, increased it by $8.3 million. So that brings us to a total of $92.1 million for the quarter.
 The operating earnings on an as-adjusted basis, $37.2 million. That's 10.3% of revenue, an increase of 70 basis points versus last year, or 23% from an absolute standpoint.  And again, David mentioned earlier the increase in operating earnings from an organic standpoint was $4.8 million, which is 37% of our increase in organic revenue. So we continue to see the benefit of our continuous improvement and footprint projects there.
 Below the line, other income and expense increased from $5 million to $6.8 million. The primary contributors there were some increase in interest expense associated with some additional debt for the Socla acquisition and just some foreign exchange charges where we have to mark our working capital to market below the line.
 On the tax front, the tax rate was 12% versus last year's 38%. That includes all of our restructuring charges and whatnot. That low rate is reflected -- or is caused by the favorable tax positions that we unwound in China as a result of the sale. If you exclude those unusual tax bookings that we had, the tax rate in the quarter would have been 32%, which is close to our normalized rate. We typically run about 33% in the quarter.
 So net income on an adjusted basis, almost $21 million, an increase of 36% versus last year. And as we mentioned earlier, our net debt-to-cap at 14%, which is in good shape. On the balance sheet, we had $250 million of cash with $250 million available on our revolver. And that's the result of the strong free cash flow conversion of 164%. 
 So with that, I'll turn it back to David. 
David Coghlan: Thanks, Bill. So in summary, we were pretty pleased with our performance for the quarter and the year given the challenging business environment that we're facing. Our full year results were driven by price realization in North America and further progress globally on our operational excellence journey. In addition, Socla performed better than our original expectations, and we added some key bench strength to our management team to further drive improved performance throughout the organization in the future.
 Looking forward, we expect modest market growth in North America and overall flat markets for us in Europe. We also believe we'll have to continue to deal with volatile commodity costs, and so as a result, price-cost dynamics will remain a challenge that we'll have to deal with on a daily basis.
 So in this environment, we'll continue to focus on the issues we can control like driving growth through new product introductions, share gain, geographic expansion and smart, disciplined acquisitions by continuing to push forward on operational excellence throughout our business and by making progress on our One Watts initiatives, including strengthening the business through proactive talent management, deploying shared services and implementing common systems and processes. We believe this approach will allow us to continue to deliver improved operating results despite the lack of any meaningful tailwinds from our market environment.
 So at this time, we'd like to open up the lines and fill any questions you might have. Operator, can you open the lines for questions, please? 
Operator: [Operator Instructions] And the first question will come from the line of Jeff Hammond, KeyBanc Capital Markets. 
Jeffrey Hammond: Just on price-cost, can you just give us a sense if you look at all-in for 2011? What was, on a net basis, price versus cost? And maybe as you look at '12, is it better or worse than that? 
William McCartney: Well, you have to really look at it by market, Jeff. And in North America, on the North American wholesale, we believe that we have covered, and on the North American DIY, we have not covered. It'd be several million dollars. And in our European markets, it would also be several million dollars we did not cover. 
Jeffrey Hammond: Okay, so if you look at '12, is that kind of the same trend you expect, all-in? 
William McCartney: Well, I think that if all of our pricing holds where it is, I would expect that we would continue to cover in North American wholesale. The DIY is still going to be -- will be better in '12, but not completely covered. And Europe is still going to be a challenge. 
David Coghlan: And then on the other side of the equation, Jeff, you're going to have some -- given the lag of copper prices coming through our P&L, you'll have some reduction in copper prices as they reduced in the second half of last year that were flow-through in the first half. And then we'll have some increase in copper prices flowing through the P&L in the second half of the year. So you sort of have to look at it on both sides of the coin. 
Jeffrey Hammond: Okay, great. And then just can you give us what you think incremental accretion is on Socla in '12 then just quantify what you think you're going to get in restructuring savings in '12? 
David Coghlan: Well, I think Socla, we feel comfortable that, at least in the beginning of the year, well, just the annualization impact of Socla, if you will, we should pick up at least $0.05. And then we should pick up a little bit as the year progresses, and we continue to see some of the integration savings, if you will, of Socla as we continue to do that. On the restructuring front, we just finished our -- one of our plant consolidation in North Carolina. So that is just starting to run through the P&L. So there'll be a couple of million dollars there, and that's really the main one, I think. The French one is really -- we should see some modest improvement in France, but we have the bulk of that saving running through now. 
Operator: The next question comes from the line of Garik Shmois, Longbow Research. 
Garik Shmois: First question is if you could break out in the fourth quarter how much of the organic growth, both in Europe and North America, was pricing versus volume or give us a rough ballpark, please. 
David Coghlan: In North America, it's probably about 50-50, and in Europe, it's going to be heavily skewed towards unit volume. I don't have the exact percentage, but... 
Garik Shmois: No, that's fine. And then just secondly, if you could talk a little bit about inventories. I think coming into the last call, you were concerned that there was going to be some potential de-stocking in the fourth quarter. Just wondering if that occurred at wholesale, both in our North America and in Europe, and where, perhaps, wholesale inventories are right now. 
David Coghlan: We did see some de-stocking in retail in the third quarter, and we were concerned that, that trend might spread a little bit in the fourth quarter. But to be honest, we didn't see any meaningful further de-stocking in our customer base in the fourth quarter. Having said that, our customers are still running with incredibly lean inventories, and so that creates a competitive advantage for us in that those with fastest deliveries can very often pick up some incremental business. 
Garik Shmois: Okay. Did you see any prebuy ahead of the January price increases in some of these -- in some of your markets? 
David Coghlan: No. 
Operator: The next question comes from the line of Kevin Maczka, BB&T Capital Markets. 
Kevin Maczka: On the January price increases, did you say the magnitude of those increases, and is that primarily in the wholesale market? And do you have any color yet since that was in January on how well that's sticking? 
David Coghlan: It's very early, Kevin, and most of the price increases were in Europe. We went after selective products and select markets. So it's tough to put an across-the-board number on it. But yes, it was heavily in the wholesale channel. And because they were announced in January, it typically takes a little bit of time for it to work its way into the market. And so we don't have a feel just yet as to how they're being realized. We did do a couple of narrowly focused price increases in North America on a couple of wholesale products, and obviously, we're still working on the retail side through the line review process to try and get as much as we can to stick. 
Kevin Maczka: Okay. So we've got some price increases coming as we get out a few months. You also mentioned we've got lower copper coming in the first half, higher in the second half. I'm just trying to get a sense for margins. We've been everywhere from 9% to 12% in 2011 and 10% in the fourth quarter. Is 12% or something close to it reasonable again with your organic growth outlook and this view on lower copper prices in the first half? 
William McCartney: Well, I don't think we're going to bite on 12% on this call, Kevin, to be honest with you, okay? I mean, we still -- our goal is 12% operating earnings, and we're going to get there through a combination of continuous improvement, footprint consolidation, leveraging our fixed overheads and SG&A. But we're also going to need a little bit of volume to get there. So I don't think we'd get there just on pricing copper issues alone. I don't see that. 
Kevin Maczka: Right, but that should be a little bit better in the first half than it was here in Q4. It sounds like it's what you're saying. 
David Coghlan: Yes, it is. 
Operator: The next question comes from the line of Ryan Connors, Janney Montgomery Scott. 
Ryan Connors: A couple of questions. First off, you talked about the organic growth. Can you -- and you talked a lot about the new start environment in commercial and residential. Can you talk a little bit about remodeling and repair and replacement and whether -- how that's fairing relative to the new start area? 
David Coghlan: We see -- we've got a better feel for the remodeling -- the repair, replace, upgrade market in North America, and we feel it's holding up reasonably well. What we're hoping is that as consumer sentiment solidifies around the improving economy, that there may be some pent-up demand which gets released, but we're not seeing that yet. And so the way we're looking at our repair, replace, upgrade business is that it's been pretty consistent through the downturn, and we're sort of planning for a continuation of that. 
Ryan Connors: Okay. And then in terms of Europe, a couple of questions there. So first off, I've been hearing some rumblings about a return of subsidies for renewable energy products in Germany and driven by desire to stimulate the economy to stave off recession. Have you heard any of that or possibly have any update there on the renewable energy side? 
David Coghlan: Yes, we've heard the same rumblings, and they're sort of -- again, it's a 2-sided story. On the one side, the German economy is attempting to cut costs where it can, like many other European countries, and so there's a discussion around the financial benefits of those types of subsidies. On the other side, I think those concerned about the environment in Germany are slowly waking up to the fact that when you stop producing power with new plants, you're going to start importing power from Eastern Europe from coal plants. And so is that better for the German environment than worse? And so they're starting to realize that maybe, we ought to put more money back into renewable energy. And so it's not clear to us yet how that plays out. 
Ryan Connors: Okay. And then finally, just kind of a longer-term thematic question, you mentioned the pricing headwinds in Europe and the more fragmented nature of your markets there. Is there any evidence that the challenging times there are driving industry consolidation that will, long term, improve pricing? I mean, it doesn't seem like -- you're doing okay, but it doesn't seem like you're making abnormal excess returns over there. So if those smaller competitors aren't following suit on pricing, one would assume they're hurting pretty bad. I mean, is there any effort that there'll be -- that, that competitive environment will shrink? 
David Coghlan: We hear noise about a number of our competitors struggling financially, and we also hear noise about, in a number of markets in Europe, the banks tightening up a lot on companies who are missing repayment dates or, perhaps, not living by covenants. And so you put all of that together again, and you'd certainly see -- you'd expect to see the screw tightening on some companies who are struggling. But are we seeing wholesale or significant consolidation in the industry? No, we're not. And so the things that we're trying to do is to say, look, we've got to push as hard for price as we possibly can, and then we've got to ramp up our focus even more on operational excellence. And so we mentioned earlier in the call that we've completed a pretty major program in France. We're also working on a handful of smaller programs dotted throughout Europe in terms of restructuring programs, and we're putting a lot of focus onto driving our continuous improvement programs into our European plans so that we can become a lot more efficient and productive. And so if the consolidation then occurs and a couple of our competitors go away, well, then that's a little bit of benefit on top. 
Operator: And the next question comes from the line of Todd Vencil, Sterne Agee. 
L.  Vencil: So Bill, going back to the sort of price-cost, you talked about the fact that in a couple of areas, you think you lagged with the price in 2011, and then you sort of thought that some of those areas may continue to lag in '12. My question is, is that sort of -- are you thinking that it'll further lag in '12, or just you won't completely catch up through the lag from '11? 
William McCartney: I don't think -- I don't mean to say it's going to get worse, Todd, because I don't believe that. I think that we will be better. We'll be equal or better on all fronts, but we won't have completely recouped on the North American DIY and in Europe. But we will be better in '12 than we were in '11 on this issue. 
L.  Vencil: Got it. So a bit of a tailwind, even though you may not catch all the way back up? 
William McCartney: Yes, correct. 
L.  Vencil: Got it. And then on the charges and the extraordinary items, Bill, can you parse out between COGS and SG&A for the quarter? 
William McCartney: Yes, it's all SG&A, Todd. 
Operator: The next question comes from the line of Jeremy Hellman, Divine Capital Markets. 
Jeremy Hellman: Just going back to the Northern European exports, do you have some clarity into where geographically those exports may be going if they're weighted anywhere? 
David Coghlan: What we're largely talking about there is our OEM business in Northern Europe, and the largest market for our OEM business in Northern Europe is Germany. And so there's 2 things happening. First of all, German OEMs, for instance, the larger boiler companies, are taking share outside of their home markets. And so we're being pulled along with that, and so they would be some of the larger markets in other parts of Western Europe, France, U.K., et cetera. 
Jeremy Hellman: Okay. And then another geographic question... 
David Coghlan: Then just to finish the question, the other piece then is that they're focused heavily on exporting into developing markets like Eastern Europe and, in some cases, into China. And we're being pulled along by that as well. 
Jeremy Hellman: Okay. And then second question for me, geographically, just trying to refresh my memory, regarding Mexico, saw a statistic recently that they've got a pretty significant residential housing unit deficit that they're talking about, something on the order of 9 million units, and just wondering what your views are on the Mexican market. Is that more commodity-type stuff without regulations where you need them to be to make it an attractive market for you guys, or is this something that you're looking at? 
David Coghlan: Well, we are looking at Mexico. In fact, we had a team down there last week. But the Mexican market is a very different market for our types of products than Europe or North America. So for example, most Mexican homes are fed by gravity feed, so they put a tank on the roof and the water flows. And then that type of situation, the type of products that are in our sweet spot like backflow preventers, pressure regulators, thermostatic mixing valves, they're just not used. In the commercial space, the codes in Mexico continue to evolve, but they're not at the point that codes are in either the U.S. or in Western Europe. And so there are some opportunities in Mexico, and we're looking at which ones we can take advantage of. But there's nothing like the same sort of content for our types of products in the residential or commercial building there yet. 
Operator: The next question comes from the line of Jamie Sullivan, RBC. 
Jamie Sullivan: I'm wondering if you saw any actual benefit from weather maybe helping some of the repair, replacement activity? 
David Coghlan: I think it probably does help us moderately because the construction markets don't get as interrupted as they would if you had a tough winter. But then that's partially offset by the fact that the heating season this Q4 was weaker than normal because typically what happens, Jamie, is that the heating season starts in September, where the wholesalers bulk up for the season. And then we get another wave of orders that come through late in Q4 as they depleted their September orderings and inventories and whatnot. And that second wave was very, very mild because people in North America, the boilers aren't cranking like they usually do. So the heating season was -- the weakness there offset some of the favorableness we got from the mild winter. 
Jamie Sullivan: Right. Okay, that's helpful. And in terms of 2012, you talked about your macro outlook. Are there any particular product categories where you're more optimistic or more cautious? 
David Coghlan: We picked a couple of different product categories that we're pushing, and we've talked about them in previous calls, and so those still remain the product categories we're working. So for instance, we've got a couple of initiatives around water quality, where we're continuing to work with Home Depot on a number of pilots through their home install program in I think it's approximately 200 stores. We're continuing to work the launch and commercialization of our water quality line through plumbing wholesalers. And we're continuing to push our new scale prevention product, this is a saltless water-conditioning product called OneFlow, into vertical markets where we see opportunities. Similarly, there's a lot of work going on to push our BLÜCHER product line in a number of new geographies: Middle East, [indiscernible] Europe and even in North America, et cetera. On the other side, the areas that we're probably seeing some headwinds, but they're largely weather-related, would be the heating business in North America because of the winter. And then as we go to Europe, the area we're seeing headwind because of the subsidies would be some of our products that go into renewable energy applications. But as we mentioned during the call, that's being offset through growth in our Radiant product line in Europe. So hopefully, that didn't confuse you too much. 
Jamie Sullivan: No, that's great. And then I guess just one on margins in terms of the organic incrementals going into 2012, do you still feel good about a 35%-plus number? 
David Coghlan: What we mentioned that we saw on the fourth quarter, where we saw organic growth dollars coming through, they converted at about a 37% rate. So yes, we're still comfortable with the 35%-or-so conversion rate on incremental volume. 
Operator: [Operator Instructions] The next question comes from the line of David Rose, Wedbush Securities. 
David Rose: A couple of questions. One is I was wondering if you could talk a little bit about Socla's organic revenues in the quarter, if you have that data, what they were. Two is thoughts on the health of your European distributor channel, if any of the distributors fell out, went out of business. And then just briefly, a couple of key initiatives for the first half and second half of 2012. 
David Coghlan: David, organic, you mean what they've -- for us, it's completely acquisitive growth. You're talking 0 organic growth rates? 
David Rose: Right. 
David Coghlan: Okay. Socla was essentially flat on the quarter versus last year's Q4, even though they have been up several percentage points on a year-to-date basis because they're seeing some very nice growth, particularly in Eastern Europe. Did that answer the question? 
David Rose: Yes. And then if you can talk about the health of your European distributors and then lastly, key initiatives for the first and second half of 2012. 
David Coghlan: We haven't seen any significant changes in our European distributors, and to go beyond that, our largest channel in Europe is still the wholesale channel. We've seen some movement in the wholesale industry in some ways, to more disaggregation and another ways, to more aggregation. So there's no one single trend. But we don't see any negative impact in Europe on any of our distributors or our wholesale customers. 
David Rose: Okay, great. And then lastly, any of the key initiatives on your operational excellence program or any new initiatives for either the first half or second half. 
David Coghlan: Well, as Bill said, we finished off some of our significant restructuring programs in North America. We are still executing on a couple of small ones in Europe. We have a facility closure in Sweden that we're working through, and we've just pretty much done a small facility closure in Italy. And so those will start to bleed through. We haven't made any announcements about the next -- about any further consolidations in Europe, and we'd be loathe to talk about them because were we to do anything, we'd have to discuss them with the workers' council to effect it first. 
David Rose: But we can expect additional manufacturing footprint reductions then sometime in the second half? 
David Coghlan: Yes, we are --  as we got through the current slew, that gives us an opportunity to sit back and see around the world where there might be further opportunities and to start to put together that slate of candidates, so to speak. 
Operator: [Operator Instructions]  We have a follow-up question from the line of Kevin Maczka, BB&T Capital Markets. 
Kevin Maczka: On this expansion into Russia, Poland and the Middle East, can you just talk about where we are on that? Has that really started to move the needle at all, and if not, when do you think it might? 
David Coghlan: Well, we're starting from a modest base. And so in terms of a meaningful contribute to the corporate whole, it's not at that point yet. But wherever we see double-digit growth of a meaningful base, within a couple of years, I think it will be meaningful. 
Kevin Maczka: Okay. And then just the last one for me, David, can you remind us of the Socla seasonality? Because I think they did $0.03 to the bottom line this quarter but $0.06 in Q3. 
David Coghlan: Socla historically, Kevin, has very little seasonality, so if you look at what we were expecting when we bought Socla, we were talking sort of $0.03 to $0.035 a quarter of contribution to Watts, and we hit $0.03, so it was at the lower end of the range in the quarter. But still, for the year, the run rate were at the high -- we actually slightly exceeded the high end of the range that we gave, which was $0.18. So it's just a -- they had a little bit of slowdown in their revenue. We don't believe that it's indicative of any type of change in the trend that they've been on and so on. So we're still -- our initial discussions with The Street was sort of $0.14 to $0.18, so we're sticking with the high end of that range or a little bit better. 
Operator: And this concludes the question-and-answer portion for today. I'd now like to turn the call back to David Coghlan for closing remarks. 
David Coghlan: Okay, so thank you for your interest. And again, the key point that we just like to emphasize is that our focus is on driving things that we can control in a market environment where we've lost about $200 million of volume. And the result of that is that's delivering peak earnings in the trough. And so our expectations going into 2012 are to plan for very moderate growth and continue to focus on the internal initiatives that we can drive to deliver improved shareholder value. So we appreciate your continued interest in Watts, and thanks for taking the time to join us today. 
Operator: And thank you again, ladies and gentlemen, for your participation. This concludes today's conference. You may now disconnect, and have a great day.